Operator: Welcome to the MetLife First Quarter 2015 Earnings Release Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends in the company's operations and financial results and the business and the products of the company and its subsidiaries. MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission, including in the Risk Factors section of those filings. MetLife specifically disclaims any obligations to update or revise any forward-looking statement whether as a result of new information, future developments, or otherwise. With that, I would like to turn the call over to Ed Spehar, Head of Investor Relations.
Edward A. Spehar - Head-Investor Relations, MetLife, Inc.: Thank you, Brad. Good morning, everyone, and welcome to MetLife's First Quarter 2015 Earnings Call. We will be discussing certain financial measures not based on generally accepted accounting principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures and related definitions to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings release and our quarterly financial supplements. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible because MetLife believes it's not possible to provide a reliable forecast of net investment and net derivative gains and losses, which can fluctuate from period to period and may have a significant impact on GAAP net income. Now let me call to your attention four new disclosures in our quarterly financial supplement this quarter. First, expenses and sales for our non-US businesses, Latin America, Asia and EMEA. Second, business segment returns on both allocated and tangible equity as discussed on our December outlook call. Third, operating earnings and premiums, fees and other revenues on a constant currency basis. And four, an earnings (02:30) table for corporate and other, which was previously only available in our 10-Q and 10-K filings. We believe these additional disclosures provide greater transparency for our businesses and address some of the questions that we have received from the investor community in the past. Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; and John Hele, Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the discussions are other members of management, including Bill Wheeler, President of Americas; Steve Goulart, Chief Investment Officer; Michel Khalaf, President of EMEA; and Chris Townsend, President of Asia. After prepared remarks, we will have a Q&A session. In fairness to all participants, please limit yourself to one question and one follow-up. With that, I'd like to turn the call over to Steve.
Steven A. Kandarian - Chairman, President & Chief Executive Officer: Thank you, Ed, and good morning, everyone. We are pleased to report good results for the first quarter of 2015. Operating earnings were $1.6 billion, up 4.8% from the first quarter of 2014. And operating earnings per share were $1.44, a 5.1% increase over the prior year period. Growth in the quarter was dampened by broad-based weakness in foreign currencies. Premiums, fees, and other revenues, or PFOs, were essentially flat versus the prior year but up 4% on a constant currency basis. In Latin America, reported PFOs were flat versus the prior year but up 13% on a constant currency basis. And in Asia, reported PFOs were down 6% but up 6% on a constant currency basis. Earnings were also negatively impacted by the strong dollar. Operating earnings grew 5% on a reported basis and 10% on a constant currency basis. We believe MetLife's global platform should deliver attractive growth and returns over time, but currency translation can be a source of volatility. The increase in operating earnings in the quarter was driven by business growth and a rebound in underwriting margins. As you may recall, underwriting margins were below normal in the prior year period. Investment margins remain healthy in the quarter with an average investment spread of 211 basis points for U.S. product lines. However, the spread was at the low end of the 210 to 240 basis point range of the past few years. Margin pressure from low interest rates was only partially offset by variable investment income. Expenses as a percentage of PFOs continue to trend downward. The operating expense ratio was 23.5% in the first quarter versus 24.1% in the prior year period. Our goal is to grow overall revenues at a faster rate than expenses, and we have sharpened our focus on expense control to help offset the drag on earnings in the current economic environment. However, we will not forego the investments necessary to become a more customer-centric company simply to boost GAAP earnings in the near term. Accordingly, we plan to reinvest $225 million this year to modernize the company's infrastructure and make it easier for customers to do business with us. We believe these improvements will generate additional savings and make customers more willing to recommend us to others. Just as becoming customer-centric is a key element of our strategy, so too is growing sales of capital efficient, protection-oriented products. We made good progress on this initiative in the first quarter. For example, accident and health sales outside the U.S. increased by 24%. Involuntary accident and health and non-life product sales in the U.S. grew by 57%. I would now like to discuss return on equity. Operating ROE was 11.7% in the quarter and tangible ROE was 14.4%. However, low interest rates and the impact of regulatory uncertainty in capital management are challenges for ROE going forward. I want to remind you what we have said over the past three years about return on equity and provide you an updated outlook. We introduced our new strategic plan in May 2012 with a 2016 operating ROE goal of 12% to 14%. Since that time, we have provided sensitivities for ROE related to interest rates and share repurchases. We have said that persistent low interest rates would bring down our 2016 operating ROE to the low end of our 12% to14% range. Unfortunately, the 10-year Treasury yield has averaged 2.2% since May 2012 and our current plan assumes rates rising less than we initially assumed. We have also said that our strategic plan contemplated $8 billion of share repurchases from 2012 to 2016 and that no buybacks over this period would reduce ROE by 100 basis points. We have been cautious on share repurchases because capital requirements remain unknown for non-bank, systemically important financial institutions. We have not yet seen draft capital rules, and there is no clarity on when those rules will be issued. As a result, it is likely that share repurchases will be substantially lower than we had assumed in our strategic plan. In the first quarter, we completed the $1 billion buyback program announced in December 2014. As an opportunistic buyer, we took advantage of price weakness to aggressively repurchase shares at an average price of $49.56 per share. Given regulatory uncertainty, our overall approach to share repurchases remains conservative. Since May 2012, buybacks have totaled $2 billion, or one-fourth of the total contemplated in our 2016 ROE target. Below-plan M&A activity has also had a negative impact on returns. The acquisitions we have made have contributed approximately $200 million to earnings, or half of what was contemplated in our strategic plan. MetLife has consistently been a disciplined buyer, and we will not relax our acquisition standards simply to boost ROE in the short term. The 10-year Treasury yield has been hovering around 2%, the regulatory environment remains uncertain, and it is unlikely that M&A will contribute as much to earnings as we had hoped. With only eight months to go until 2016, we believe it is appropriate to reflect these realities in the ROE outlook. As a result, we estimate that MetLife's operating ROE will be approximately 11% next year. An 11% operating ROE would mean a return that is approximately 9 percentage points above the current 10-year Treasury yield. A 9 percentage point spread over the 10-year would be close to the pre-financial crisis levels, while the quality of MetLife's ROE has improved, largely due to lower leverage and derisking in the U.S. business. Despite macro and regulatory challenges, we are optimistic about MetLife's prospects. This optimism is underscored by our board's willingness to increase the common stock dividend. As you know, on April 28, we announced a 7% increase in the quarterly common stock dividend per share. With this increase, our annual common stock dividend will be $1.50 per share, and based on MetLife's current share price, the dividend yield will be 2.9%. We have now raised the common stock dividend for three consecutive years, resulting in a cumulative increase of 103%. Going forward, it is our goal to increase the common stock dividend as our earnings grow. Turning to regulatory issues, I would like to begin by restating one of the core principles that guides our thinking on these matters. Simply put, it is that regulators should preserve a level playing field for all of the companies in the life insurance industry. Regulators in the United States and Europe correctly point out the virtues of competition in an antitrust context. We believe that same commitment to robust competition should apply to insurance regulation, and for the same reason. Competition provides consumers with the best products at the best prices. We were pleased when the Federal Reserve recently made clear that it will develop a single capital standard for all of the insurance companies it supervises through a formal rule-making process. If the Fed had elected to establish prudential standards for insurers by order rather than by rule, the result could've been different orders for different companies, with potentially harmful effects on competition. Developing capital standards through a rule-making process will address one threat to competition by holding all federally-regulated insurance companies to the same standard. However, there's still a risk that these additional capital rules for federally-regulated insurers will put them at a competitive disadvantage to companies regulated exclusively at the state level. So it will be important for regulators to ensure consistency across multiple and potentially conflicting capital regimes. In closing, MetLife had a good quarter, especially considering the pressure from low rates and the strong dollar. Looking forward, we believe MetLife will continue to generate attractive risk-adjusted returns on equity. Finally, I am pleased that we have been able to offer higher current income to shareholders by more than doubling our common stock dividend over the past three years. With that, I will turn the call over to John Hele to discuss our financial results in detail. John?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Thank you, Steve, and good morning. Today, I'll cover our first quarter results, including a discussion of insurance margins, investment spreads, expenses, and business highlights. I will then conclude with some comments on cash and capital. Operating earnings in the first quarter were $1.6 billion and $1.44 per share, both up 5% from the prior year period and 10% on a constant currency basis. This quarter included one notable item in our P&C business. We had higher than budgeted catastrophe experience, partially offset by favorable prior-year development, which decreased operating earnings by $16 million, or $0.01 per share. Adjusting for the notable items in both periods, as disclosed in the appendix of our Quarterly Financial Supplement, or QFS, operating earnings were up 6% year-over-year and 11% on a constant currency basis. The key drivers were business growth and underwriting improvement, partially offset by lower variable and recurring investment income. Turning to our bottom-line results. First quarter net income was $2.1 billion, or $1.87 per share. Net income was $490 million, above operating earnings in the quarter. Three items that explain most of this difference are, number one, derivative net gains of $394 million after-tax, which reflects changes in foreign currencies and gains from lower interest rates. Number two, investment portfolio net gains of $113 million after-tax, as credit-related losses continue to be modest in the portfolio. And these were partially offset by, number three, charges of $35 million after-tax associated with insurance contracts and other market value adjustments. Of the total $490 million difference between operating earnings and net income, we attribute $455 million to asymmetrical accounting and noneconomic adjustments. Book value per share, excluding AOCI other than FCTA, was $50.45 at March 31, up 6% year-over-year. Tangible book value per share was $41.32 at March 31, up 9% year-over-year. With respect to first quarter margins, underwriting results improved year-over-year by approximately $0.05 per share after adjusting for notable items in both periods. This was primarily due to improved mortality and morbidity experience in Group, Voluntary & Worksite Benefits, or GVWB, as well as better underwriting in Corporate Benefit Funding. These favorable results were partially offset by adverse claims experienced in Retail Life. Retail Life's interest-adjusted benefit ratio was 59.3%, unfavorable to the prior year quarter of 56.9%. Results this quarter were negatively impacted by higher than normal accidental deaths, particularly accidental falls, which we believe is related to this adverse winter weather. The Group Life mortality ratio, which now includes AD&D, was 90.7% in the quarter. This was favorable to the prior year quarter of 91.9%, driven primarily by lower Term Life claim severity. The Group Life mortality ratio is seasonally high in the first quarter. Therefore, we would expect the mortality ratio to be toward the top end of the 85% to 90% annual range. The non-medical health interest-adjusted loss ratio, which now excludes AD&D, was 77.0%, favorable to the prior year quarter of 79.9% and at the low end of the targeted 77% to 82% range. Dental had favorable margins compared to the prior year and plan due to lower utilization. We believe lower utilization was a function of adverse winter weather and anticipate some increase in utilization similar to what we saw last year. Disability was in line with the prior year period, and we expect improvement for the balance of the year. In property and casualty, the combined ratio, including catastrophes, was 89.3% in Retail and 101.2% in Group. The combined ratios, excluding catastrophes, were 79.4% in Retail and 89.7% in Group. The more favorable Retail P&C combined ratio reflects less exposure to the Northeast, which experienced particularly severe winter weather. Overall, P&C underwriting results were favorable versus the prior year due to lower non-CAT losses, partially offset by higher CATs. Turning to investment margins, please note annuity spreads in the QFS are now based on total annuities. The total annuities spread, which includes deferred annuities and single-premium immediate annuities, better depicts investment margins for the business than our prior disclosure of deferred annuities only. While investment margins have been resilient, we have seen some modest decline in spreads. The average of the four U.S. product spreads in our QFS was 211 basis points in the quarter, down 17 basis points year-over-year and one basis point sequentially. Product spreads, excluding variable investment income, were 181 basis points, down six basis points versus the prior year and two basis points sequentially. The year-over-year decline was primarily due to lower variable investment income and core yields. Pre-tax variable investment income was $371 million, within our 2015 quarterly guidance range of $325 million to $425 million. After taxes and the impact of DAC, VII was $241 million, down $33 million versus the prior year due to weaker private equity returns, partially offset by higher prepays. Core yields declined as a result of the low interest rate environment. Average new money yields are running roughly 100 to 150 basis points below the average yield on assets rolling off the portfolio. With regard to expenses, the operating expense ratio was 23.5%, favorable to the prior year quarter of 24.1% and slightly favorable to 23.6% after adjusting for a legal settlement with New York in the first quarter of 2014. Gross expense saves were $244 million in the first quarter and net saves were $180 million after adjusting for reinvestment of $31 million and one-time cost of $33 million. I will now discuss the business highlights in the quarter. Please note that our segment earnings in the current and prior year period reflected the changes discussed on our December outlook call. Retail operating earnings were $653 million, up 3% versus the prior year quarter and up 8% after adjusting for notable items. Growth in Retail was driven by favorable separate account performance in annuities and partially offset by unfavorable underwriting in Life. Life and other reported operating earnings of $203 million, down 20% versus the prior year quarter and 14% after adjusting for notable items in both periods. The primary drivers were tighter core spreads, higher corporate expenses, and lower closed block earnings. Underwriting, while below expectations, was only modestly unfavorable to the prior year quarter as adverse mortality and life was mostly offset by favorable P&C experience. Life and other PFOs were $2.0 billion, essentially flat year-over-year as growth in the open block was partially offset by the runoff of the closed block. Core Retail Life sales were up 23% year-over-year, driven by increases in Whole Life and Term. The performance this quarter supports our view that Life sales bottomed in 2014. Annuities reported operating earnings of $450 million, up 18% versus the prior year quarter and 22% after adjusting for excess variable investment income in the prior year. This strong performance was primarily due to separate account returns, which were 2.7% in the quarter and lower expenses. Variable annuity sales were flat year-over-year. As you know, we introduced our new VA-guaranteed minimum withdrawal benefit rider, FlexChoice, on February 17. As the application process is typical for one month VAs, FlexChoice had little impact on first quarter results. GVWB reported operating earnings of $228 million, up 20% versus the prior year quarter and 27% after adjusting for notable items in both periods. Growth in the quarter was driven by underwriting improvement in most products. GVWB PFOs were $4.4 billion, up 3% year-over-year, and sales increased 5% due to strong growth in voluntary products. Voluntary sales accounted for 16% of GVWB sales in the first quarter of 2015, and we would expect this percentage to grow from this level. Corporate Benefit Funding reported operating earnings of $369 million, up 9% versus the prior year quarter and 14% after adjusting for notable items. The key drivers were favorable underwriting and business growth. CBF PFOs were $543 million, up 27% year-over-year due to pension closeout and structured settlements. On closeouts, we continue to see a good pipeline of small to mid-sized cases. Latin America reported operating earnings of $131 million, down 17% from the prior year quarter and 3% on a constant currency basis. Business growth and underwriting improvement were offset by lower inflation, higher taxes, and higher expenses in U.S. Direct. Latin America PFOs were $1 billion, essentially unchanged from the prior year quarter and up 13% on a constant currency basis, driven by business growth across the region. Sales were up 11% on a constant currency basis, driven by Brazil, Mexico, and U.S. Direct. Turning to Asia, operating earnings were $327 million, down 2% from the prior year quarter and up 8% on a constant currency basis driven by business growth. Additionally, effective April 1, 2015, the government of Japan enacted a tax reform plan that would lower the Japanese tax rate by approximately 2%. As a result, the company expects to record a one-time benefit of $170 million to $180 million, which includes an increase in Asia's second quarter operating earnings by approximately $60 million. In addition, we expect this tax law change will favorably affect our estimated annual effective tax rate for 2015 by approximately 0.2% as compared to 2014. Asia PFOs were $2.2 billion, down 6% from the prior year quarter but up 6% on a constant currency basis, driven by business growth and solid persistency in core markets. Asia sales were 4% on a constant currency basis, driven by a 32% increase in accident and health sales in Japan. In EMEA, operating earnings were $70 million, down 1% but up 35% year-over-year on a constant currency basis, driven by business growth as well as favorable underwriting and lower expenses, both of which were better than expected for the quarter. Going forward, we believe underwriting margins and expenses will be closer to expectations. EMEA PFOs were $629 million, down 14% from the prior year period but up 2% on a constant currency basis. PFO growth was dampened by certain product and accounting reclassifications in 2014, which had no bottom-line impact to earnings but did impact the growth rate. Adjusting for that, underlying PFO growth was approximately 8% on a constant currency basis, driven by strong employee benefit sales in the last two quarters. Total EMEA sales increased 14% on a constant currency basis due to strong growth in employee benefits and A&H sales. As Steve noted, we had strong growth in A&H. In the quarter, A&H sales outside the U.S. were $1.2 billion, which was 23% of total combined sales in Latin America, Asia, and EMEA. I will now discuss our cash and capital position. Cash and liquid assets at the holding companies were approximately $5.7 billion at March 31. This amount reflects the completion of our buyback program, the issuance of senior debt to fund an upcoming debt maturity, cash contributions to our life insurance captives, which we discussed on our fourth quarter earnings call, and the payment of our quarterly common dividend. Turning to our capital position, the combined risk-based capital ratio for our principal U.S. insurance companies, excluding Alico, at year-end 2014 was 410%. Also, our Japan solvency ratio was 1036% as of December 31. For our U.S. companies, preliminary first quarter statutory operating earnings were approximately $1.2 billion and statutory net income was approximately $1.3 billion. Statutory operating earnings were up 53% from the restated prior year quarter, primarily due to separate account returns and improved underwriting. We estimate that our total U.S. statutory adjusted capital was approximately $30 billion as of March 31, up 7% from December 31. In conclusion, MetLife had a good first quarter. Investment margins remained healthy despite pressure from low rates. Expenses are well-controlled, and underwriting improved for the third consecutive quarter. In addition, our cash and capital position remains strong, and we continue to successfully execute on our strategy as we seek to maximize shareholder value. And with that, I will turn it back to the operator for your questions.
Operator: And our first question will come from Seth Weiss with Bank of America Merrill Lynch. Please go ahead.
Seth M. Weiss - Bank of America Merrill Lynch: Hi. Good morning and thank you for taking the question. I wanted to just ask some questions on the updated guidance, first, the new 11% guidance for 2016. In terms of a interest rate assumption, does this contemplate the 3.5% yield that you assume is part of your business plan for 2016, that you've laid out in the 10-K? Or does it assume flat interest rates through the end of the year – or through the end of 2016?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: Hi, Seth. We've assumed lower rates, as I mentioned, than our original plan that we put out in 2012. For 2015, we're assuming 2.46% for the 10-year Treasury and for 2016, 3.11%.
Seth M. Weiss - Bank of America Merrill Lynch: Okay. Thanks. And if we think about also M&A, you mentioned that accretion from M&A was roughly half of what was assumed back in that original plan. When we think about more limited M&A than what was planned, is this a function of the regulatory uncertainty or a function of availability of opportunities in the market?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: The main thing is remaining a disciplined buyer. The regulatory uncertainty has some impact upon that as well, in the sense that, as a designated non-bank SIFI, we're mindful of considerations, in terms of that designation, related to our business model. So there's some things we'd probably be less likely to pursue in that environment than if that environment didn't exist. But the main reason why we did not, to-date, acquire businesses with earnings of the $400 million we were assuming in our original plan of 2012, really relates to being a disciplined buyer, looking at the marketplace. We've reviewed a number of transactions that were of interest to us, but the pricing that was attractive to us to move forward on did not ultimately end up being the pricing that the transactions went for. They went for higher numbers. So that's the main driver there. And let me just mention, on the interest rate numbers I gave you, those were year-end assumptions for the 10-year Treasury.
Seth M. Weiss - Bank of America Merrill Lynch: Okay. Thank you.
Operator: And our next question will come from Jimmy Bhullar with JPMorgan. Please go ahead.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Hi. My first question is just on capital deployment. And I think, Steve, you had mentioned last time on the call that you, given the regulatory uncertainty, might not consider doing an immediate buyback after the current one at the time had been completed. So now that it's done, what's your view on potential buybacks through the remainder of the year? Are you ruling those out, or would you still consider them at some point later this year?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: Jimmy, we have not made a decision yet as to whether or not we would do more share repurchases this calendar year. What I said before is that the most recent program was completed more rapidly than we anticipated, because we were buying more shares at – when the price of our stock was lower, below certain levels. So that program concluded more rapidly than we had anticipated, and we're going to take a pause for a while and reassess things further on in the year.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. And then, just one question on the Japan business. You had pretty strong sales in A&H. Can you discuss what drove this? Is it the new products you introduced last year, or something else? And to what extent do you view the results as an ongoing trend versus an aberration?
Christopher G. Townsend - President-Asia Region: So, yes, Chris Townsend here. The A&H results for Japan were up 32%, and that helped lift all of Asia, from an A&H perspective, up 25% for the quarter. So we did bring in new products called Flexi Plus and Flexi Gold (34:08) a little over six months ago, and the performance has been very strong since we launched those products. So we expect to see continued good growth through the second and third quarter, but the fourth quarter will be more challenging from a comparison perspective, because we had a very strong fourth quarter 2014, given that we launched these products right at the start of that fourth quarter.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thank you.
Operator: And our next question will come from Tom Gallagher with Credit Suisse. Please go ahead.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Good morning. Steve, just one question. Why the update on the ROE guidance right now? Is it simply you're close enough to 2016 or – I'm just curious, why now? That's the first question.
Steven A. Kandarian - Chairman, President & Chief Executive Officer: Tom, I think you answered it. We are now only eight months away from the start of 2016. And we have more visibility, obviously, not only to this year, but our 2016 plan and, given where rates are, given our view of where rates are likely to be, given the M&A issue I'd mentioned before, given what's realistic in terms of share repurchases in the current environment related to our SIFI designation. As you rerun those numbers, staying in that 12% to 14% range, it doesn't look likely. And certainly, analysts on the Street have already baked that into their projections for 2016 ROE. I think the average that we've seen out there is 11.1% for 2016 ROE for MetLife. So I think it's pretty well understood how the math works, given all these factors, most of which are not within our control here at MetLife.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Right. And I guess, Steve, that was going to be my point, too. I was just looking at where consensus numbers are, and I think most people have figured that out. So it clearly doesn't look like that estimates look out of whack. But the other question, just as a follow-up to that, did you say the interest rate assumption for year-end 2015 is 2.46% and year-end 2016 is 3.11%? Those are year-end figures?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: I have to correct myself. Those are actually average 10-year rates.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. Those are average 10-year rates. And then, one, my follow-up is, I guess for Chris Townsend. Your strong Japan sales, particularly in A&H, was followed by – Aflac also had very strong A&H sales growth as well. Is the A&H market growing again? Or are you all taking share from the domestic competitors? Can you give a little color for what's happening there?
Christopher G. Townsend - President-Asia Region: Sure. The products we launched were launched after fairly detailed customer insights, so they're pretty focused customer-centric products. They're effectively hospital cash products with a range of surgical benefits and the way they work is that we have some very low-cost options for certain types of customers and we have some products, which are more appropriate for the more discerning customer, which have some more specialized covers of. So I think the products are fairly broad in terms of their offering, which helps to drive growth overall. So probably the market for the A&H business is growing at about 3% to 5% overall. So as have been indicated, we've got well-positioned products which we're distributing through that multichannel approach which we've spoken to you about previously.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. And not a sense for whether it's coming from share – share is being taken from the domestics or otherwise?
Christopher G. Townsend - President-Asia Region: Yes, I think the market's grown probably about 3% to 5%. We're clearly outpacing that growth at the moment, but they're a new range of product. So we're comfortable with where we're at and we'll continue to drive pretty good growth out of these products for the rest of the year.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Thanks.
Operator: And our next question will come from Erik Bass with Citigroup. Please go ahead.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Hi. Thank you. Can you just talk about how you're thinking about capital return relative to the free cash flow that you're generating? And should we view all free cash flow generated as being potentially available for redeployment? Or does your ROE guidance assume that there's some additional capital build at the holdco?
John C. R. Hele - Chief Financial Officer & Executive Vice President: So this is John. And we view, ultimately, other than an appropriate buffer at the holding company when we find out what the capital rules are, that we will be living under, that that would be truly free cash flow. It is for common dividends, for buybacks or for acquisitions. So that's why we're quantifying that for you now on a regular basis, and once we finally know the capital rules, we can come up with an appropriate capital management plan.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Got it. But I guess your revised ROE guidance, does that assume that there is further capital build at the holdco?
John C. R. Hele - Chief Financial Officer & Executive Vice President: We are assuming a consistent conservative nature of capital in our projections.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Okay. And then maybe one question just quickly on Latin America. Can you quantify the size of the loss related to the U.S. Direct business? And how we should think about the investment being made there in 2015?
William J. Wheeler - President-American Division: Sure. Erik, this is Bill Wheeler. So remember, our U.S. Direct business is now being reported inside the Latin American segment. And the total loss for the quarter was up about $6 million year-over-year, $5 million I guess. Just keep in mind that that's different. We've now – all the direct activities that MetLife was pursuing in the U.S. are now pulled together under one management organization and being reported in Latin America. So that was a small reason for the decline in Latin American performance. But we expect losses in that segment as we're sort of investing in growth for the remainder of 2015. Sales growth is very good there, and we don't have the ability to capitalize the acquisition cost quite like we do in our more traditional businesses.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Got it. Would you expect the kind of expenses to continue at a similar run rate or increase as sales volumes pick up?
William J. Wheeler - President-American Division: My guess is, if anything, they'll decline a little bit in terms of – the acquisition costs will be steady, I think, throughout the year. But the bottom line losses will probably drop a little bit.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: And our next question will come from Ryan Krueger with KBW. Please go ahead.
Ryan J. Krueger - Keefe, Bruyette & Woods, Inc.: Thanks. Good morning. The $225 million of reinvestment spend that Steve mentioned, is that in addition to the $400 million per year that you've already guided to? Or is that part of the $400 million?
John C. R. Hele - Chief Financial Officer & Executive Vice President: That is within – this is John. That was within the $400 million long-term that we're seeking for.
Ryan J. Krueger - Keefe, Bruyette & Woods, Inc.: Okay. Got it. And then on the interest rate assumptions, you gave the 10-year assumption. I assume there's also some change in the shape of the yield curve which could impact your Corporate Benefit Funding business? Can you give any color there on what you're assuming?
John C. R. Hele - Chief Financial Officer & Executive Vice President: We haven't given exact details, but we are assuming a flattening of the curve. If you look at – we based most of this on consensus outlooks, and you see the short end coming up throughout the next 18 months or so, up to the end of 2016.
Ryan J. Krueger - Keefe, Bruyette & Woods, Inc.: Okay. Got it. And then last one if I could just revisit the question I asked last quarter now that the year-end statutory statements are finalized, you've been talking about the statutory capital impact over the last couple of years from being domiciled in New York. Can you give us any more detail on what the cumulative statutory capital or RBC impact has been to MetLife from the stricter New York insurance rules?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Sure. This is John. For those of you who enjoy reading blue books, you'll see on page 19 of MetLife Insurance Company, there's a table that lists versus NAIC with the prescribed practices required by New York create the difference in reserves. And there's about a $1 billion difference between those two printed numbers. However, if you look at, as we've analyzed the impact of New York and other requirements that they request we follow, the total number is actually $3 billion difference in statutory reserves. This would include about $700 million in reserves because of the fact we did not use life captives. So that's within that $3 billion. The other point I would tell you on this is that the $3 billion difference in statutory reserves has very little tax impact, not very tax effective reserves.
Ryan J. Krueger - Keefe, Bruyette & Woods, Inc.: Okay. Thanks. Very helpful.
Operator: And our next question will come from Sean Dargan with Macquarie. Please go ahead.
Sean Dargan - Macquarie Capital (USA), Inc.: Thanks. Looking at the group non-medical health loss ratio, 77%, I'm wondering how LTC did within that business. Was the, I guess, underwriting performance in line or better than you would've expected?
William J. Wheeler - President-American Division: Sean, it's Bill Wheeler. Yes, LTC did perform better than expected. That was one reason that medical health overall loss ratio, 77%, was quite good. I think another, probably equally important reason is dental utilization. If you recall last year, the first quarter because of bad weather, we saw low utilization in the dental area, and then a catch-up for the remainder of the year. And I think it's going to happen the same way this year, where we saw low utilization because of poor weather, especially here in the Northeast. And there'll probably be a catch-up for the remainder of the year. So that's – look, I think the ratio would've been – the non-medical health ratio would've been good in any case. But these are the two factors that made it especially good.
Sean Dargan - Macquarie Capital (USA), Inc.: Okay. And just one follow-up on LTC in terms of maybe some strategic options because you did write all that business out of a New York company and you're probably better reserved than most, and we saw a private capital transaction recently for an LTC block. Is this something that you would consider selling even if maybe the purchase price wasn't particularly high just to make it go away and never have to talk about it again?
William J. Wheeler - President-American Division: Well, I would never exclude anything. I wouldn't put anything off the table. But I don't think that's likely or in the cards. Our block is significant. That transaction was quite small. And there's a lot of – in terms of if you think about price increases that we've been asking for through the state regulatory process, we're having a lot of success there. That's helping the block become I think more attractive over time, and so there's a lot of state of play there. And I wouldn't expect us to leave that on the table and transact anytime soon.
Sean Dargan - Macquarie Capital (USA), Inc.: All right. Great. Thank you.
Operator: And our next question will come from the Yaron Kinar with Deutsche Bank. Please go ahead.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Good morning and thanks for taking my questions. So first question going back to the ROE target, the revised ROE target, now as it pertains to M&A, so I just want to clarify the $200 million of earnings as opposed to the $400 million that was expected, that is from M&A that was expected from 2012 on, so it has no bearing on the Alico acquisition or how that's performed?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: That's correct.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Okay.
Steven A. Kandarian - Chairman, President & Chief Executive Officer: We were assuming $400 million of additional earnings by 2016 from acquisitions when we put the plan together in 2012.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Okay. And, Steve, you said that the non-bank SIFI designation has maybe dampened the appetite for some deals that you would've otherwise considered or some businesses you would've otherwise considered. Can you give us maybe a couple of examples of businesses that you find less attractive with this designation?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: I won't give you specific examples, but you can imagine things that would be considered in the process of designating a company as a SIFI, those kinds of factors went into our thinking in terms of what we would consider acquiring, and there were certain businesses and blocks of businesses that were for sale, particularly in the United States, that we were impacted by that factor.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Okay. And last question, Steve, given that the initial target of 12% to 14% by the end of 2016 has come up against a few headwinds that were clearly not foreseen in the beginning of 2012, have you and the board, have you had any discussions over the retirement age of 65, which I think would've probably brought to a change at the helm around the end of 2016? Have you considered maybe extending your tenure?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: The policy you're referring to is a internal policy for senior management, executive management of age 65. Again, it's not in our bylaws, so it's something the board could waive if it chose to do so but no decisions have been made.
Yaron J. Kinar - Deutsche Bank Securities, Inc.: Thank you.
Operator: And our next question will come from Randy Binner with FBR Capital Markets. Please go ahead.
Randy Binner - FBR Capital Markets & Co.: Hey. Thank you. Just on buybacks and kind of the regulatory piece. I understand the comments that your authorization's complete because you still are unsure what will happen with the rules. But I guess the question is, aren't things kind of going in the right direction? You got the Collins fix, the bank-centric draft rule that was a risk seems off the table now from the Fed. It seems like it's possible you're not going to know what these final rules are for some time, so I'd be interested in getting a sense of your increased confidence to maybe have to make decisions on capital deployment if you don't have kind of a final answer on the rules maybe by the end of this year.
Steven A. Kandarian - Chairman, President & Chief Executive Officer: That has factored into our thinking to date. In other words, we had said we weren't going to do repurchases several years ago when SIFI designation was still being determined for us. And then because the rules were delayed in terms of being promulgated by the Fed, we took actions in two separate cases of each $1 billion of share repurchases. And we did that because the timeframe had shifted on us in terms of our expectations of knowing the rules. So I've said this before, it's art more than science when you don't know what the numbers are going to be, and there's no indications that you can rely upon in terms of what the capital standards ultimately are that you live under. So we have taken I think a measured approach in terms of both share repurchases and the issuance of a higher dividend on our common stock in light of what you just said, which is the delay in the timing that we were all expecting for knowing the rules.
Randy Binner - FBR Capital Markets & Co.: But I guess the core of the question is, I mean do you think things are going in the right direction? Or are these wins with the Collins fix and kind of making progress with the Fed, is that not material enough to change your decision-making process?
Steven A. Kandarian - Chairman, President & Chief Executive Officer: The amendment to Dodd-Frank that you're referring to that occurred in December of last year is encouraging. It gives the Fed the flexibility to write rules appropriate for the insurance industry, as opposed to their interpretation of the Collins Amendment, which they thought required them to use no less than bank standards, in this case Basel III standards, even on non-bank SIFIs. So that is encouraging. But all that does is give them the flexibility to write rules they think are appropriate for the insurance industry. We don't know yet what that methodology will be. We don't yet know how those rules may differ from state rules that we live under today. We don't know yet how the rules they come up with may impact us differently than the state rules, because they may look at certain aspects of our balance sheet differently than the state rules than the ASC (51:53) rules look at those assets and liabilities today. So there's no way for us to really have a good estimate of the amount of capital we need to hold under a regime the Fed has yet to put out, even in draft form.
Randy Binner - FBR Capital Markets & Co.: All right. Thank you.
Operator: Our next question will come from John Nadel with Piper Jaffray. Please go ahead.
John M. Nadel - Piper Jaffray: Hi. Thanks. I just had one quick question for you this morning. If we look at the core adjusted for unusual items in the annuities segment, the after-tax ROA, if I look back over the past maybe three, four, five quarters, it's been averaging somewhere in the low to mid-70%s. In 1Q, it's – I think if my calculation's correct, it's about 85 or 86 basis points. It's a huge stair-step. Just a question for you, what drove that? Is that sustainable? Is there some outcome there on the expense side or otherwise that we should believe is trendable from here?
William J. Wheeler - President-American Division: John, it's Bill Wheeler. So, I wouldn't think that that's a run rate, $450 million of earnings. And there's a couple reasons for that. Annuities had a number of smaller positive factors this quarter. One was separate account performance. Even though the S&P 500 growth was pretty modest this quarter, separate account performance was much stronger. The broader stock indexes did much better. The bond market did much better. Remember, a big percentage of our assets now in the separate accounts are actually fixed income.
John M. Nadel - Piper Jaffray: Yeah.
William J. Wheeler - President-American Division: So separate account performance was 2.4%, and that obviously helped. The second thing is investment spread, you noticed that actually picked up a little bit this quarter, and there were some, I would say, some more unusual investment income which we don't think is repeatable. But there's also – part of the reason the investment margins went up is, when we collapsed our variable annuity captive, or Bermuda captive last year, there was a pool of cash which is now being redeployed into longer-term investments. So yields are up, so that's part of the reason, but the other part is some investment earnings which are not sustainable. So I think the right run rate's a little lower than $450 million, but overall, the annuity business is performing pretty well.
John M. Nadel - Piper Jaffray: Thanks very much.
Operator: And our next question will come from Humphrey Lee with Dowling Partners. Please go ahead.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Good morning, guys. Just a quick question on LatAm – in the press release, you mentioned that there's some earnings sensitivity to low inflation, and I was just wondering if you can help us to kind of quantify the impact of low inflation in LatAm, and how that affect the earnings outlook, if inflation remained low in the region?
William J. Wheeler - President-American Division: Yeah, so a little background here. Obviously, certain Latin America economies historically have been prone to high levels of inflation, and it's a risk that we need to take into account when we develop an investment strategy in those countries. Because in a couple of countries, we do sell longer-term immediate annuities, especially Chile. And so, in Chile, there is a portfolio of assets where the yields on the bonds is linked to the official inflation rate. And the inflation right now in Chile is quite low, and so that means that the yield on those bonds is near zero, and the overall impact – it was actually probably the biggest driver of under-earning performance in Latin America, was this low-inflation phenomenon. I'm trying to get the exact number here. Well, it's roughly $8 million after-tax, is what it cost us, in terms of the inflation rate in Latin America. So, this isn't just a Chile issue, but it's mainly in Chile.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Okay. Got it. And then, in terms of the annuity sales outlook you talked about, there's a little bit of a timing issue when the FlexChoice product was being launched. How (56:30) the application process to date and the overall sales in the second quarter year-to-date, as you reported today, has been trending?
William J. Wheeler - President-American Division: Yes, so applications are good. The product is getting good market acceptance. We had forecast, in 2015, a pretty meaningful increase in our annuity business sales, and a piece of that growth was driven by FlexChoice. It wasn't the whole reason for growth, but it was a big piece of it. And so we're seeing apps trending, and we're seeing a lot of good sales coming out of that, and a lot of, I would say, recapturing of sales where our own sales force was selling third-party business and now, instead, they're using FlexChoice as their key living benefit rider product.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: So, no change to your kind of 50% increase for 2015?
William J. Wheeler - President-American Division: We still think that's a good projection.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: All right. Thank you.
Operator: And our next question will come from Suneet Kamath with UBS.
Suneet L. Kamath - UBS Securities LLC: Thanks. Good morning. I was hoping you could update us on what the current benefit you're getting from the interest rate hedges through – and investment income, and how are you thinking about that trending going forward?
John C. R. Hele - Chief Financial Officer & Executive Vice President: Hi. This is John. We haven't given out that specific amount. I would say that they've held up quite well historically and into this year. We expect next year to see somewhat of a slight drop-off, but we have hedge protection on this going off well into the next decade, so into the early 2020s timeframe.
Suneet L. Kamath - UBS Securities LLC: Okay. And then just one more on the ROE. I'm just trying to reconcile the interest rate sensitivity on the ROE to what you have in the 10-K? Maybe I'm not thinking about it right, but if I look at the business plan that you have in your 10-K and where the rates are versus a 2% 10-year Treasury assumption, it looks like a bigger decline, obviously, relative to your current lowered interest rate assumptions, but even if I use that 10-K sensitivity, it seems like you're pointing to an operating earnings impact of $5 million, which for a company of Met's size is de minimis. So I must be missing something on the interest rate sensitivity in terms of why it's putting so much pressure on the ROE.
John C. R. Hele - Chief Financial Officer & Executive Vice President: Okay. So this is John. The 10-K update we give at the end of the year, and that's an outlook, what happens if rates stay kind of at a low level versus what we assume in our plan. Our plan had already been adjusted down, as Steve had indicated, to reflect a lower consensus already. And the other thing that's going on there, which you'll see in the segment sensitivities is compared to our plan, which assumes a more flattening of the yield curve, which reduces sec lending earnings, the scenario that's given assumes a steeper yield curve so the long end stays down but so does the short end, and so that causes a net benefit compared to the plan. So you'll notice that in the sensitivities we give, and CBF is actually a positive in the rest of the plan. So there's really a combination of things. It's a lower long end rate in that sensitivity, but the lower short end rate is a net positive when it comes to the sec lending book of business.
Suneet L. Kamath - UBS Securities LLC: Okay. Got it. And then just one quick follow-up for you, John. I think in response to Ryan's question when he was asking about being regulated by the New York regulator, I thought in your comments you had said that part of the differential is that you don't use life captives. Were you specifically referring to the VA or are you talking about XXX and AXXX as well?
John C. R. Hele - Chief Financial Officer & Executive Vice President: That is not including any assumptions for variable annuity captives. It's only life insurance captives for AXXX and XXX.
Suneet L. Kamath - UBS Securities LLC: Okay. So you were just referring to the VA. In other words, the differential's not because you don't use life captives. You do use life captives.
John C. R. Hele - Chief Financial Officer & Executive Vice President: We are limited in New York as to how much we can do in life captives. So if we were a non-New York-domiciled company, we estimate that the statutory reserves could be $700 million lower by the use of captives for Universal Life and Term Insurance that takes into account XXX and AXXX reserves.
Suneet L. Kamath - UBS Securities LLC: All right. Thanks.
John C. R. Hele - Chief Financial Officer & Executive Vice President: Thank you.
Edward A. Spehar - Head-Investor Relations, MetLife, Inc.: Okay. Thank you very much for your participation. Have a good day.
Operator: And, ladies and gentlemen, this conference will be available for replay after 10:00 today and running through Thursday, May 14, at midnight. You can access the AT&T executive playback system by dialing 1-800-475-6701 and entering the access code 344932. International parties may dial 31-320-365-3844. Again, that number, 1-320-365-3844 with the access code 344932. Those numbers again, 1-800-475-6701 or 1-320-365-3844 with the code 344932. This does conclude our conference for today. Thanks for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.